Operator: Good morning, and welcome to Gelion plc investor presentation. [Operator Instructions] Before we begin, I'd like to submit the following poll. And I'd now like to hand you over to CEO, John Wood. Good morning to you, sir.
John Wood: Good morning. Thank you very much. Look, I'm really pleased this year to be able to give you this update. for Gelion. We're calling it now the sulfur battery company, and you will understand that as we proceed through this presentation. Okay. So first of all, our lawyers say hello, and they are absolutely not paying me to say this, but a big call out to Fieldfisher in the U.K. and Aspen Legal in Australia, who have been extraordinarily supportive and available to us through a big year of transactions. Okay. First, I would like to introduce your presentation panel today. Amit?
Amit Gupta: Thank you, John. Good morning, and good evening all. My name is Amit Gupta. I am the CFO of Gelion. I've been with Gelion for over 4 years now. Prior to joining Gelion, my professional life was largely consulting, Deloitte and KPMG, where I worked on a number of M&A and IPO transactions. Louis?
Louis Adriaenssens: Yes. Thanks, Evan. So my name is Louis Adriaenssens. I've been with Gelion for almost exactly 2 years now. I'm the CTO here. Prior to that, I worked for Panasonic at the Tesla Gigafactory. I was the supervisor of chemistry there, and we made batteries at an absolutely astounding rate. And it's my pleasure to be here and speak to you all today and tell you about some really significant things that have happened at Gelion, which moved us closer to that level of manufacturing. Pass back to John.
John Wood: Thank you, Louis. I'm John Wood. I'm your CEO. It is an honor to run this company for you. It is a battery innovation company and technology company, and we are aiming to be the world leader in sulfur battery technology. This is something I've been doing my whole career, something I love doing, which is taking out the work of creative resources and making it commercially successful. We have a presentation panel today, but behind us, of course, stands the company. And I think it's an appropriate opportunity to call out our Chairman, Mr. Steve Mahon, who's been exemplary this year. Our founder, Thomas Maschmeyer, always in the front line with us. Our Non-Executive Directors, Joycelyn Morton, Graham Cooley and Michael Davie, I always value their support. And then, of course, our teams. And I do say teams, the great team working on lithium sulfur technology in Australia and our integration group in Australia, our OXLiD team up in the U.K., and our Battery Minerals team. We are blessed with the quality of the people that we work with in Gelion. Okay. We have a succinct presentation for you today, and we are going to be concentrating particularly on a key aspect of our lithium sulfur technology. That's because we believe we have a tiger by the tail. We think we've got something that is really important. We're making really solid progress with it. So the course of this presentation will focus on that. We will be giving you a corporate update. Amit will be taking you through the annual results. Louis will talk about products and technology. I'll come back and put that in a commercial context for you and then summarize at the end of the presentation. This has been an extraordinary year. I'm going to put it in context for you looking around the world. First of all, I want to discuss Australia. Call out the enormous support from the Australian government through ARENA. We announced to you earlier in the year about our ACPC grant, great support coming from there. That led to announcements that followed announcements in the U.K., the tremendous support that we get in the U.K. from Faraday and the Advanced Propulsion Center. We talked about how in the U.K., we are now doing some very important solid-state work that was being supported by the government there. Most recently, we announced our partnership with QinetiQ, once again being supported to make very important full pouch cells in the U.K. this year. We talked to you this year through our announcements about our relationship with the Max Planck Institute of Colloids and Interfaces out of Germany. The remarkable Professor Markus Antonietti and his team, a priceless relationship that is delivering outstanding results. Then we started to introduce to you what we were doing with Tier 1 manufacturers around the world, and we told you that we were doing a materials testing agreement with a Tier 1 manufacturer. A little later in the year, we revealed to you that, in fact, that was a TDK Corporation out of Japan, one of the world's most important battery manufacturing companies. Happy to highlight for you that the next place we will be going is the U.S.A., and we are starting work in that direction, which I'll describe a little more as we progress through the presentation. So I mentioned a tiger by the tail at the start of the presentation. We are working very hard in sulfur battery technologies. Why sulfur battery technologies and why particularly sulfur cathode active material? There is a $44 billion market today for cathode materials for batteries. That's going to be $132 billion market by 2032. It is serviced today primarily by 2 formulations. It's called Nickel Manganese Cobalt, NMC, and Lithium Ferrous Phosphate, LFP. Now I've got a picture in front of you and it says that a picture can tell a thousand words. Well, there's more than 1,000 words in this one because on the right, what you have is a traditional cathode material. Now this is either an LFP or an NMC. You can see what it looks like and how it's used in manufacture. On the left-hand part of this screen, you can see our cathode material, our sulfur cathode material that's in the bottle of the black powder there. And in the middle, there is a role of our cathode material. And you can see that cathode material looks like just like the one on the right. And so this is where Gelion is heading. So the market for cathode materials today, I've told you the size of the market, but it's dominated by nickel and cobalt materials or LFP. We aim through the course of our program of work to get to where we can offer a third option alongside those other materials into the cathode market. That's the size of the ambition that Gelion has. We aim for our cathode material to be a drop-in into that market. Now that's going to be very important because it opens a world of opportunity in energy storage. We aim very high. And in doing that, you must work to a very high standard. Now to have a compelling -- a truly compelling commercial product, it's not good enough just to be a high power product or to be a high-energy product. You must deliver the full suite of performance criteria. And on the screen here now, you can see that you must be low cost. You must have stable high energy, high power in charge and discharge, wide temperature tolerance, long cycle life, and you must do them all with one material at the same time. And that's where we're going with Gelion. That's why we're so excited. Okay. How do we deliver the low cost? Well, firstly, the material itself is made from low-cost materials. And we use a very low-cost fabrication material. So this is sulfur. Sulfur is abundant, low-cost carbon materials like sulfur and carbon. Stable and high energy. That comes because our sulfur is what is described as being nano confined by self-forming method. What that means is that in making this material, we can find the sulfur in such a way that it's in a high energy state that delivers this high power, this ability to work in a wide range of temperatures. Now this is not traditional for sulfur battery technologies. This is unique to the sulfur battery technology that we're developing inside Gelion. And that comes from a combination of the work in the IP and everything we acquired through the progression of the Oxus IP acquisition for Johnson Matthey, the OXLiD acquisition, the wonderful team that came on board with our Gelion [indiscernible] and our work with the Max Planck Institute. So no polysulfide shuttle, the nano confinement separating the sulfur from the electrolyte, opening a wealth of opportunity for sulfur battery technologies. So how do we apply that? One material and here, what we're doing is effectively 3 configurations or flavors of the material, however you would like to consider that. On the left, we have the material that we're doing in the shortest term. So this is a material where we take our sulfur CAM and we pair it with lithium metal. Now this makes an extremely high-performance cell. This is high power. This is high energy density, wide temperature range. You put that cell in a drone, it goes into high-value markets. In the center, what we've done is we've taken our sulfur cathode material and with what's called pre-lithiated it. So we put lithium into the sulfur cathode material. Louis will talk to you a bit more about this later. But what we're doing here is doing the work to make our sulfur cathode material a drop in. We can then pair it with standard anodes and standard electrolytes. So this is a product still in development, but we have made test cells that work as the configuration you see it here. Where does this configuration take us? Well, it takes us towards a cell that will be very important we believe, in e-vehicles. So this is a cell that can get you out of range anxiety. It has very high energy density, very high power, but a low cost and abundant cell. And then on the right, this third cell, this is the one that really -- I find most exciting of all. This is a room temperature sodium sulfur cell, sodium, sulfur and carbon and electrolyte. Now these are materials that you can find everywhere in the world. These are abundant materials, and this is the cell -- this cell is a very low-cost cell. So think of this cell in terms of being a technology that can be manufactured at a national level around the world and think of the impact and the contribution that, that will be making, also the commercial merit of those 3 cells, material. We told you recently about a collaboration agreement that we put in place with TDK Corporation. I cannot talk more highly of the amazing people that we have had the pleasure to work with at TK. These are rigorous scientists. TDK has been a leader in battery technology from the very start all the way through. It's a true honor for us to be able to work with them. And what does it bring to us? It allows us to focus on the things that are most important. It allows us to move forward quickly, taking advantage of the experience and the complementary technologies of that organization. So we're very, very honored to be able to work alongside TDK on this sulfur journey. There were 2 partnerships that we announced towards the end of last -- or the end of this year or in the last couple of months, in fact. The first one was this TDK partnership, which is actually a multiyear collaboration agreement. It doesn't preclude us from working with others, but we are working very closely with TDK. It leads to the onset of partner revenue. It will work towards what we'll be doing is making commercial -- large-format commercial prototype cells together. We will work together towards optimum product market fit. So by working with collaboration partners who already are supplying the market today with other chemistries, we make it real. We keep it real. So we're spending your shareholder dollars in ways towards getting our important materials to market and keeping it real in doing that rather than making things that we think might be a good idea. And so that product market fit is very, very important. And then as we progress, the goal is to get to where we're actually on their prototype production lines as well. The relationship with QinetiQ supported in the U.K. by the government, GBP 1.1 million project, including a GBP 0.5 million grant to Gelion. This is defense and aerospace, a scale-up of our CAM into, once again, commercial prototype pouch cells, and we're going to demonstrate that one for you in 12 months' time in Cemex in the U.K. So you can see these announcements are essential very, very important commercial progressions, points of progression for your company, Gelion. Now it builds on our IP. Our goal is to be a Tier 1 battery innovation about what that means a little bit later in the presentation for you. But we need to protect our position as we go as well. And that is [indiscernible] we are working very hard. We have more than 200 patents, but we are continuously evaluating our patents, adding to the portfolio and moving forward. I think we had more than 5 year [indiscernible]. I'll pass to Amit now, who will take you through the year's results.
Amit Gupta: Thank you, John. So John has walked you all through the impressive piece of work that the business has done, both not just technologically but also commercially. We have established commercial collaborations with reputed Global one manufacturers, and that derisks the entire business. What I want to walk you through is how we have transformed the financial side of the business as well. And on that note, I will talk about Integration Solutions. That's a new division that we started in September, October last year. We got our first contract. We delivered the first contract successfully, and we recognized our first revenue. So first revenue for Gelion in FY '25, GBP 910,000 and margin associated with that as well. What this contract or this project has done for us is this has established a site for future projects for future customers to see what we have delivered and to actually go and see. So this is kind of a show and tell. Our pipeline continues to grow. It's approximately GBP 17.5 million now. If you think about this, the business only started 12 months back. The sales cycle is rather long, 9 to 20 months. It's because there are a number of steps during the course of actually identifying the opportunity and signing the contract and requires government and regulatory approval before you actually sign a sales contract. So in 12 months' time, a long sales cycle, the pipeline is growing really, really strongly. I spoke about the first revenue, GBP 900,000. That is recognized in FY '25. You can see that product revenue. and the margin associated with it as well. So you see direct costs, GBP 0.7 million. So the margin started coming from the first project itself. If you consider the pipeline that we have and even if you give a 25%, 30% chances of converting those pipeline into actual sales, you're looking at GBP 4 million to GBP 5 million of sales coming through the business in the next 12, 18 months. So what we are doing is we are building the pipeline, which will convert into kind of regular flow of sales and revenue and margin into the business, helping us reduce our cash burn. This is the third year in a row where we have exceeded market expectations, not just at the income level, but also at an adjusted EBITDA level, which further reduced to GBP 4.1 million. We went from GBP 5.5 million, GBP 6 million in FY '23 to GBP 4.8 million in FY '24 and to 4.1 million in FY ’25. Our cash position -- pro forma cash position was $4.1 million at 30th of June. This is slightly higher than what the market was expecting. I want to remind everyone what we have achieved over the course of the last 12, 15 months, whilst we are decreasing our cash burn and decreasing our losses. So the underlying message on this slide is we are taking really, really good care of shareholder capital. We're ensuring the capital is deployed in the most efficient manner, and every spend is being thoroughly and rigorously checked by myself and John. This slide brings home what I've been talking about. So if you look on the left, total income grew by 33% between FY '23 and FY '25, obviously, because of the integration solutions revenue in FY '25. I spoke about the pipeline. I spoke about the potential conversion of this pipeline. If those pipeline opportunities convert successfully, we hope to see continuous growth in the total income as well. Whilst we're doing all of that, our OpEx continued to decrease. It decreased by 22.9% or GBP 1.8 million over the last 3 years, which is phenomenal given we have gone through a rigorous cycle of high inflation and everything, but we have managed to bring our costs down. We have acquired OXLiD in FY '24. So in FY '23, we did not have OXLiD, just Gelion. We acquired OXLiD in FY '25, we established Battery Minerals, but we continue to reduce our expenses. The most interesting chart is on the right, underlying net cash flow, which everyone kind of talks about. You can see that decreasing from over GBP 6 million, GBP 6.5 million to GBP 4.6 million. That's approximately GBP 1.9 million reduction. Again, the same message from us as an executive team and from the company that your capital has been really, really well looked after. As you all know, we -- very, very recently, we completed an oversubscribed very successful capital raise round. We raised GBP 10.5 million. We had very, very strong participation from both existing and new investors, institutional and retail. Once the institutional shareholders reach that particular threshold, it will be announced to the market, and we have some very, very large U.K. funds. Retail participation was fantastic as well. The round was supposed to be open for a week. We closed it in 1.5 days because of the demand. What are we going to do with those proceeds? So John spoke about commercial power sales in Asia, U.K. and U.S.A. We are already -- those plans are already in progress. We will complete the QinetiQ program, work with TDK to achieve the product market fit. We'll expand our relationship in the U.S., additional sales and integrations business unit and general working capital to provide growth and the balance sheet strength of the business. So I thank you, everyone, for participating in the round, and it's very exciting to be part of Gelion. I will now pass it on to Louis. You're on mute, Louis, I think.
Louis Adriaenssens: Thank you, Amit. Sorry about that. So to understand the significance of our technology, it really helps to understand the significance of sulfur. We all know that a very, very large number of batteries are produced every year. And we also know that, that amount of batteries is going to have to increase in rate by at least an order of magnitude in order to hit global energy Net Zero. Now if you look at the current situation with batteries and battery supply chains, there's an obvious issue here. Almost all battery supply chains terminate in one region of the world. And that means that, that one region of the world dominates battery production. Having all your eggs in one basket like this is a very, very bad idea. And it is completely counterproductive in trying to achieve Net Zero. The critical minerals, the toxic materials, the politics that underpin current battery manufacture and commercialization are just not compatible with achieving Net Zero. Now there have been some notable examples of groups that have tried to produce batteries using these conventional materials. So this is the NMC and LFP that John spoke about before. And with a few -- very, very few exceptions, all of these have fallen flat on their face, and there are some very notable examples of this reason. Now if you look at the right-hand side of this slide, you can see that there is, however, hope. We know that it's very difficult, maybe impossible to do it with incumbent materials. But on the right-hand side, we can see the global distribution of those incumbent materials compared to the global distribution and availability of sulfur. And so clearly, at least in terms of abundance, sulfur offers an opportunity. It offers a possible avenue. And what we're here to tell you today is that with our technology, we're able to take that abundance and we're able to turn it into batteries that are competitive with the incumbent batteries on performance and that blow them out of the water in terms of cost and abundance, enabling Net Zero for the world. And very significantly, it's not just us telling you that. We're super pleased, as John has said, to talk to you about our collaboration with TDK, who is one of the world's largest battery manufacturers. They dominate in certain sectors of battery provision. And we're super proud to be with them, and we're super proud to have it just not be us talking to you about this, but to have them standing beside us as we take our technology forward and bring it towards commercialization. Now as John said, when talking about our technology, one of the key issues in sulfur batteries is something known as the polysulfide shuttle. And this is something that we've managed to solve and which we think gives us the advantage and the edge and the ability to take that abundance of sulfur and turn it into a really, really fantastic battery. Now the way that we've gone about solving this issue is a phenomenon that we term as a nano confinement. And in order to understand that phenomenon, it helps to look at a picture. On the left, you can see a scanning electron microscopy image of our material. And if you look at that material, you can see the first layer of core structure that defines the way this material works. What we do is we take 2 very simple input materials. One of them is sulfur, and we heat them in a very, very simple process. There are, of course, tricks, there always are. And this allows us to in-situ form this fantastic material, which is defined by this core structure in which we have sulfur molecules and sulfur atoms organized within this pore structure. This allows us to do 3 very important things. First of all, because the pores are 3-dimensional, even though they're nano-sized pores are 3-dimensional, that means we can fit a lot of sulfur in a small space. That means that we can fit a lot of energy in a small space, making lightweight cells. Also, because we can define the opening of the ports, we can define what can and cannot enter into those ports. This allows us to optimize for productive processes to facilitate the transfer of lithium and sodium from outside of the port and into the port where it meets with the sulfur. And it also critically allows us to design out undesired pathways, degradation pathways, such as the escape of sulfur from that pore structure. And it's this escape of sulfur, which is known in the industry as the polysulfide shuttle. And this is what we're able to shut down and that at a high level is how we do it. And also very importantly, because we can define the size and shape of the pore itself, we can indirectly define the size and shape of the sulfur that exists within that pore. That allows us to intentionally present the sulfur to the lithium and sodium ions that transfer into that pour in such a way that the sulfur is highly reactive. What this means is that the sulfur reacts quickly with the lithium and the sodium and that translates into operation of the battery at a very, very high discharge rate and a very, very high charge rate. Now, there's some chunk data shown at the plot on the right, and this underlines the 3 things that I've just talked about. First of all, at a very aggressive C-rate, this is a 1-hour full discharge 1C, we are able to maintain full theoretical capacity of sulfur. That means that every single sulfur at in our material accepts lithium adds and sodium atoms to its fullest capacity. This means we have the possibility to hit a really, really lightweight battery. Second of all, you can see that the capacity fade over 100 cycles, again, at extremely aggressive C-rates of up to 7.5 minutes full discharge and charge is almost negligible. So we are clearly able to keep the sulfur in place and be able to use that sulfur reversibly during each charge discharge cycle, showing that we solved the polysulfide shuttle. And last of all, because we're able to present that sulfur in a really, really reactive state, you can see that we can operate the battery maintaining high percentage of capacity from 1C, which is a 1-hour charge and discharge all the way to 8C, which is a 7.5-minute charge and discharge. And in other plots, we've even done that down to 10C, which is a 6-minute charge and discharge. So these results are really, really phenomenal, and this is what has opened up all of these commercial opportunities and gotten us these relationships like with TDK and QinetiQ, which allow us to take our technology out and push it towards commercialization. Now as John said, we have 3 configurations or flavors of our battery. The one on the left, this is the first target market. This is going to be for drones. This is going to be a very, very lightweight battery. We're looking at 400 to 500 watt hours a kilogram. It is going to be a battery that is able to achieve a good cycle life, but the threshold is 400. We know we can compete that easily. It is going to be able to engage in high power, which is essential for applications like this where things need to take off vertically and land vertically. If you can't do that, you don't have a competent battery, and we're very pleased to say that we do. In the middle, you have one of the drop-in solutions that John talked about. This is the lithium sulfur variant, which uses standard graphfitic anodes and electrolytes, which are established in current lithium-ion battery gigafactories. When you model the performance at a relevant cell size, you see that we're getting performance aligned with NMC. This is the cell type that currently dominates high-performance automotive and automotive in the United States, for instance. And we're pleased to say that we can bring that to you at a model cost of about LFP for the performance of NMC. This is a significant cost advantage. And of course, the materials used to make the cell can come from domestic supplies. On the right, you have the sodium sulfur variant of the middle cell. This uses established anodes and electrolytes used in sodium-ion battery technology. And this allows us to make a battery, as John said, out of carbon, sodium and sulfur. These are materials that are available everywhere in the world. And very importantly, when you model the performance coming out of this battery, you get a performance which is commensurate with LFP, but at a fraction of the price. So these are the 3 flavors of batteries we have. I'm very pleased to say that we have made every single one of these batteries in coin cell format, and we're super excited to tell you how they develop in the future and of course, tell you how they develop with our partners as well. With that, I will pass back to John.
John Wood: 00:52:00 Thank you very much, Louis. Okay. I'm going to now try to put that into a commercial context for you. And we will start, though, by reminding everyone that as well as what we're doing at our lithium sulfur and with our integration activities that Amit took you through. We also were very fortunate to have picked up some very important IP along the way, which we acquired from Johnson Matthey in the area of battery recycling. And young Jacob Carpenter, if he doesn't mind me calling young Jacob Carpenter, has done an extraordinary job of structuring that and bringing it along as an independent subsidiary, Battery Minerals. Now this division has been running extremely well. Jake managed to hire some key team members, fantastic experience, former Johnson Matthey. We've got a very tight product road map defined. We've validated the technology. We're very excited. This technology can contribute to the recycling of lithium manganese cobalt, lithium ferrous phosphate and LCO as well. We are doing demonstrations at the moment, and we're planning towards scale up, so this is a business that we are developing as a subsidiary with the intent of eventually spinning that business to the benefit of our shareholders. Now we talked about our progression in 2025, last year, 2024-'25 and what we've been doing around the world and the tremendous support that we've been getting along the way. This year will be our most important. This year, we will produce commercial prototype pouch cells using our sulfur cathode material. In Japan, in the U.K., we'll be making pouch cells in Australia as well, and we will be making commercial pouch cells in the U.S. as well through the course of this year. We will be scaling up the production of the standard cathode active material. That's the one that was on the leftmost side of the 3 cells that we showed you going along. That's the one that's paired with lithium metal. And we'll be scaling it up in the earlier stages of scaling up, scaling up to the stage where we can be providing the materials out to our channel partners to be making those commercial prototype pouch cells and moving towards being able to do the prototype production quantities at the end of the coming year. We also will be developing in our laboratory level, the second 2 materials, the material to go into the drop-in lithium graphitic cell and the material to go into the room temperature sodium sulfur cell. So you understand that this coming year will be, again, another one of strong growth for your company, strong growth for your company, Gelion and important milestones. The objective, of course, is to progress now through the course of this coming 12 months with the goal of moving forward to a commercial business model for our sulfur technologies which will be based on materials sales, licensing of our technology and also sale of cells and systems built on our technology, but we will be having those cells toll-manufactured. So we have no intention as a company of becoming and investing in our own gigafactories. We are developing on a material sales model and licensing model, a capital-light model in our progression with our goal of getting the maximum return for our shareholders. And what should you look to see from that activity as shareholders? So upfront, our goal is to get Gelion recognized globally as the leader in sulfur cathode active materials at the time of most importance for that technology. So what I've given you here is some examples of companies in our peers. I might be being a little bit kind to us here. Maybe what I should be saying is that in the course of the next 12 months, what I want to do is lift us in sulfur cathode materials up into a per analogy against some of these companies, particularly those on the right. So the 3 companies I've given you on the right, they do an additive, a silicon additive that can be used with the anode of lithium-ion batteries and that can increase the performance of the cells by about 10% to 30%. So this is a very important area of development. And you can see that the valuation of these companies is all north of $1 billion. So they're all competing to be the leader in silicon additives for anode technologies as materials companies. Some of them make themselves as well, but this is an analogy for what it means to be a Tier 1 battery innovation company. On the left, you've got Gelion. Now today, obviously, our valuation is not in that class. And alongside us, you've got Lyten. Now Lyten is the considered the gorilla of the lithium sulfur companies. It is following a capital-intensive model, a capital-heavy model and is publicly out saying that Lyten wants to invest in the development of gigafactories. Now gigafactories do take a lot of investment. They're doing exceptional development. They're a great company, doing great technology development, but their path at the moment is towards having their own anode technology and their own cathode technology and their own formulations and investing in gigafactories. That takes a lot of capital. And most recently, they acquired most of the assets of Northvolt to continue that campaign. We aim to follow a strategy more like the 3 companies on the right-hand side that are doing the silicon anode development, but we'll be doing that for sulfur cathode development. What makes that possible? The thing that makes that possible is what Louis has just explained to you. This is our focus on breaking through with sulfur to make sulfur a drop in cathode material. We're very excited by that. And our goals this year in the next 12 months have been set at achieving what we believe it will be -- it will take to have your company recognized in the same class of Tier 1 battery innovators as the others that I've put on this slide. That's our goal in the next 12 months. We have the team to do it. Probably the most exciting thing about being your CEO is to walk into the office each day and to see the excitement on my team. Now I'm not talking out of shot, but I've had to send Louis home the last 2 Friday evenings, and he told me both times that he wasn't the last team member to be leaving the office. When you're doing something that is genuinely important, you see it in the eyes of your team every day, and Gelion is absolutely in that slot. Okay. So a derisked path to market leadership, exceptional technology, very exciting technology, large addressable market. You heard Amit talk about our financial discipline. We are a growth company, but we are focusing on every dollar of -- every one of your dollars that we spend. We have great backing from the U.K. government and the Australian government. We are very, very grateful to Faraday, the Advanced Propulsion Center and also to ARENA. We are transitioning to commercial pouch cells this year with partners in Japan, U.K., and we will be making them in the U.S.A. as well. The TDK collaboration to us is very important. I'll be in Japan again next week. Louis will be in Japan with the tech team early in the new year. He'll be in the U.K -- in the U.S.A. Very few partners achieved this OEM partnership status and the Tier 1 innovation status. We're very pleased to have your company, Gelion, on that path. We'll be working on relationship and partnership expansion in the U.S. and other geographies and a call out to Tracy, if he's on this call, Tracy, so, you're doing a brilliant job, my friend, and growing interest across multiple international markets. Thank you very much for this opportunity to present today on behalf of our team, Gelion, the cell battery company. And we will now, as is traditional, go to the questions, and we'll try to get through all the questions. We'll try to answer quickly. I will pass some of the questions as we go. Amit, #2 is coming at you. Louis, #3 is coming at you. So just be prepared on that.
John Wood: First question, well over to the team for another fantastic year, great progress. Thank you. It's a nice question. I like [indiscernible] that one. Now the commercial relationships are starting, merge, can you expand on your longer-term commercial approach? Will it be involved being a battery material supplier in your sulfur division rather? Yes, it will. We will be a battery material supplier in our sulfur division rather than just a license or IP, but we will license as well. Secondly, are you also looking for other commercial partners? Or will this after TDK and QinetiQ validation in 12 months? So in the market that we're developing, we've told you that we're working with TDK and QinetiQ. We're out actively doing commercial partnership meetings continuously. I mean absolutely continuously. I'm in Japan next week. I told you that Louis is going across the U.S. It's not just the battery manufacturers that we're talking to. So we are talking to the cell manufacturers. We're talking at the level above that as well. So already, we're engaging with the application companies. And I can't talk to you about who they are, but I can tell you that we are having discussions at the level above the cell manufacturers, the people that they make cells for. And I will tell you that we're having discussions at the level below as well. And that level below is where materials are made for the people who make batteries, for the people who use batteries. Our commercial objective is to be capital-light and to maximize our margin acceleration and growth in the industry. So we are super active commercially. And I will pass question number 2, which is what is your current cash runway? And how long can you sustain operations without additional funding? Amit?
Amit Gupta: Thank you, John. As we stand today, with the recent capital raise, the fund that we have raised will last us over 24 months. What I would also want to add is we are regularly working on a number of opportunities. I spoke about integration solutions pipeline. We are always looking for nondilutive funding from the Australian government, from the U.K. government, and we have been very lucky to get that as well. As these things or these opportunities eventuate, there is all the likelihood of this runway being extended further. John spoke about the TDK collaboration agreement, and he spoke about the onset of partner revenue. So that revenue will start coming in when we start sending them sizable kind of decent volumes of cathode active materials, which will happen approximately 12 months' time. So we are doing everything that we can to extend this runway as far as possible. But at a minimum, I'm looking at 24 months from today. Back to you, Louis.
John Wood: So Louis, I'm going to throw the first half of this, which is unit economic targets. Can you talk about the performance targets that you're looking for in the material? And then I'll go on to the economic targets for you.
Louis Adriaenssens: Yes, sure. So the unit -- so is there -- there was one on milestones -- anyways, I'll just answer the question. So the performance targets. So for the lithium metal cell targeted to drones, the key target is 400 watt hours per kilogram. That's the main one we want to hit. We want to do that critically providing a cell that has enough power for the drone to take off and land. For the drop in lithium sulfur, we're looking at somewhere between 200 to 300 watt hours per kilogram. My model suggests around 240 to 250 to give you a little bit of a more exact number. And similarly, we need to hit the performance targets required for application to automotive. So that's a broad temperature range of operation, the ability to put your foot down and the car accelerates and the ability to plug it in and the car charges really, really fast, which is again a power issue, which we know that our chemistry performs brilliantly. Regarding the sodium sulfur, we're looking at about 150 watt hours a kilogram there, which matches nicely with LFP. Good power and excellent cycle life, which is critical if you're going to have a cell which matches LFP and of course, very, very critically cost. my cost modeling brings us in at about 60% of the price of LLP. That matches, I think, with the performance expectations.
John Wood: Thank you, Louis. And so building on Louis's performance expectations and now taking that across to gross margins and scale and that for you. The first one that Louis talked about for you, the 400 watt hours per kilogram, that is a high-performance cell that will be going into a market that has high margin for high performance. The second and the third cells that we're developing, they're the progressively higher volume products. Because we're doing a material business model and licensing business model, our intent is to maintain margin as we grow across all 3. Next question is, what key steps and time line do you anticipate to improve shareholder value? Well, I went through that earlier on today. What are we doing today this year? Very deliberately, we told you what we achieved in last year in terms of our technology performance goals. Those technology performance goals brought us our collaboration commercial goals now working through this year, working with our partners, making our commercial prototype cells in the U.K., in the U.S.A., in Japan and then working to deliver more partnerships on top of that. That's got to be exciting, and that's got to start bringing home shareholder value. But that's the market. We'll let the market decide. Next question is, why is the share price dropping so much? There's been great progress as manipulation or a large holder selling out. Well, that's a hard question to answer. The share market is the share market. I concentrate on the performance of the company and on letting everybody know what we're doing. So we're continuously trying to educate the market about what we're doing, and we're continuously trying to let people know about the progress that we're making. So I agree, there has been great progress. I expect there will continue to be great progress. And at the end of the day, we'll have to let the market take care of itself from there. Looking ahead, if successful, what would be the revenue split between pairing the sulfur CAM with lithium or graphite or sodium? Do you see the sodium sulfur batteries as having the biggest potential commercial returns? That is a really astute question. And -- to understand the answer, the earliest will be with lithium metal. And as I said, I anticipate that being a high-value market. I anticipate the graphite market when we pair it with lithium and graphite as being a premium and large market. And then the sodium is a huge market. So Gelion is nicely hedged by being able to operate across all of those 3 activities. I can tell you that it is working strongly to your company's advantage in a geopolitical context right at the moment that we actually are aiming across all 3 targets. When do you expect to fully commercialize the first sulfur CAM products? When do you expect to achieve breakeven? So there's 2 questions here. I'll go to the first one. When do you expect to fully commercialize the first sulfur CAM products? You will see progression towards that in the next 18 months. I can't predict for you exactly when the work with our partners will convert from commercial prototype cells to people saying, Hey, we need these cells right now. We want you to accelerate everything we're doing and bring that product to market. We'll be working towards trying to achieve that as fast as we can. So I'm not duck in the question. We'll be getting there as fast as we can. But equally, I anticipate because Louis is rigorous and his team is rigorous in their approach to disciplined science and disciplined progression that we will be balancing that with making sure that what we do is done right first time. So we want to progress carefully, and we will be developing value for you in the company even as we progress towards commercialization. When do you expect to break even? Now Amit did talk to you about all the things that we're doing and have been doing around cost management and around earning revenue, our hard-working integration services division, in particular. Now our goal is to be the leader globally in sulfur technologies, unashamedly. That's where we want to go. I think that there's a whole lot of exciting things that can be happening in that journey. And will that pull us towards the goals of going towards breakeven? Or will that pull us towards a rapid acceleration and rapid acceleration coming with it from recognition and support. I don't want to predict that for you. I only want to call out what we're doing in the next 12 months to create what I anticipate and hope will be growth in recognition and value for your business.
Amit Gupta: John, if I can add to the first part of the question, as everyone knows on the presentation. In the presentation, that we are working with TDK, one of the largest battery -- global battery manufacturers, we don't have to set up large plants to actually go and commercialize. We are one of the -- in the best spots globally to make the product work and the commercialization will follow automatically because they have got everything that we need to commercialize the product. So the route to market or the time to market will be much, much shorter than us trying to do it ourselves.
John Wood: Very good answer, Amit. That's 100% correct. And the next question was, what will be the expected cost of mass manufacturing factory be? I'm thinking of the setup cost for [indiscernible] a 25 gigawatt hour factory. And of course, we're avoiding that. We're avoiding the time that it costs to set up a factory. We're avoiding the cost that it takes to set up a factory following the path that Amit has declared. And I've also said earlier in this presentation that our plan is to work with partners below the manufacturers, the cell manufacturers, above the cell manufacturers as well. So even when you're considering the quantity of material that we will be producing, we aim to produce for a 20 gigawatt hour factory, also understand that when we work towards that, we will be working towards achieving that in a capital-light and fast way as well. In everything that we'll be doing, we'll be seeking to achieve leadership as quickly as we can and as effectively as we can for our shareholders. On Slide 25, you show manufacture of a pouch cell. You show the U.S. layer. Is this with an existing partner or a TBA? TBA. We're not telling people about what we're doing in the U.S.A. at the moment, but we will produce pouch cells in the U.S.A., commercial prototype pouch cells in the U.S.A. this year. Great presentation, very prudent management of the company's resources by the exec team and CFO. That's you, Amit. Well done. And I look forward to hearing more positive news coming out in the future. Thank you.
Amit Gupta: Thank you.
John Wood: I look forward to giving you more positive news. How does Gelion intend to raise its valuation to be equivalent Tier 1 anode suppliers in 2026 when commercial revenue from sulfur cathode materials and licenses is not expected until 2027? Now that's -- I did give you comparables in terms of Tier 1 battery innovation companies. We aim to increase our valuation by hitting all our goals by making our commercial prototype cells in each of the territories that we've identified by scaling the production of our first cathode materials so that we can start to produce more of those cells and by advancing the second and the third material. I think they're the goals that people look for when they're looking at valuation assignment or valuation being assigned to a leader. If we are identified in the next 12 months as being a leader or the leader in sulfur with a path resolved, more resolved, risk reduced for drop-in cathode material, then I think valuation will take care of itself. When do you expect to be paying a dividend? And can you see the share price recovering to the listed value? Now dividend is secondary to achieving our role as a Tier 1 battery innovator at this point in time and getting the value associated with that. Can I see the share price recovering to the list of value? I really want to answer that question. I'm confident in Gelion being able to establish strong value growth. I've got to stay within the boundaries of what I am allowed to say. All I will say is I am ambitious and confident and I would love to go well beyond where it is identified in the question. What is the margin on the ESS business? How is the business expected to affect the cash burn? And will it use sulfur cathodes in 2026? The margin is appropriate. I shouldn't give exactly what our margin is. It's a margin that is being set in order to have a sustainable business and a growing business. How is this business is expected to expect that to affect the cash burn this year? Of course, it helped because we had margin coming in. It's our goal to continue to develop that. Will it use sulfur cathodes in 2026? No, it will not use sulfur cathodes in 2026. Gelion has already achieved impressive and competitive performance targets with sulfur cathodes in the lab. This is early days. Do you expect further improvements in energy density and life cycle? Hell, yes, absolutely. We do. I go over to you. We have brilliant scientists in Australia and in the U.K. I cannot tell you just how good these people. And we have access to brilliant scientists in Germany with Max Planck Institute of Colloids and Interface and team. And we're getting the benefit of brilliant scientists in Japan who are bringing the complementary technologies to make full cells using the part that we bring in the sulfur cathode material. That combination is dynamic. It is powerful. It is early days. Do we expect further improvements? I don't expect further improvements. I see them every day. Every time I go to an R&D review, it's exciting. It's exciting when the team brings in achievements. It's exciting when they bring in things where they haven't been successful because we're learning from what they do at every stage. It's a real honor to be running this company. It's an exciting journey. it's really something special. That is actually our last question. I'm pleased that, again, we've managed to get through all the questions that have been lodged. Thank you very much.
Operator: That's great. Well, John, Amit, Louis, thank you very much for answering those questions from investors. Of course, the company can review all the questions submitted today, and we will publish those responses on the Investor Meet Company platform. But just before redirecting investors to provide you their feedback, that's particularly important to the company. John, could I just ask you for a few closing comments?
John Wood: Look, I just want to say thank you to everybody. I've got the best job in the world right now. I've got an amazing science team. I've got an amazing group of people I'm working with. We've got great support from all of our advisers. [indiscernible], thank you, all our lawyers, our accountants, our auditors and our Board. And most importantly, to the shareholders that have stood beside us, behind us, with us and are moving forward with us. You're the most important at the end of the day, you are with a company that absolutely realizes every day that it goes to work that the reason that we are here is to convert the funding that you've given us to value for you and the creative input that our teams put in every day into impact around the world. So thank you all.
Operator: That's great. Well, thank you once again for updating investors today. Can I please ask investors not to close the session as you now be automatically redirected to provide your feedback and all the management team can better understand your views and expectations. On behalf of the management team of Gelion plc, we'd like to thank you for attending today's presentation, and good morning to you all.